Operator: Greetings and welcome to the Affiliated Managers Group Third Quarter 2014 Earnings Conference Call. At this time all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. I would now like to turn the conference over to our host Ms. Ally Lynn, Senior Vice President Corporate Strategy and Investor Relations for Affiliated Managers Group. Thank you, you may now begin.
Alexandra Lynn: Thank you for joining AMG to discuss our results for the third quarter of 2014. In this conference call, certain matters discussed will constitute forward-looking statements. Actual results could differ materially from those projected due to a number of factors including, but not limited to those referenced in the company's Form 10-K and other filings we make with the SEC from time to time. We assume no obligation to update any forward-looking statements made during this call. AMG will provide on its website at www.amg.com a replay of the call and a copy of our announcement of our results for the quarter, as well as a reconciliation of any non-GAAP financial measures to the most directly comparable GAAP financial measures. With us on the line to discuss the company's results for the quarter are Sean Healey, Chairman and Chief Executive Officer; Nate Dalton, President and Chief Operating Officer; and Jay Horgen, Chief Financial Officer. With that, I'll turn the call over to Sean Healey.
Sean Healey: Thanks, Ally, and good morning everyone. AMG generated economic earnings per share of $2.76 for the third quarter of 2014 which is the 26% increase over the same period of last year. Our results reflect continued momentum across all aspects of our business including strong organic growth from net client cash flows, the outstanding long-term investment performance track records of our affiliates and the excellent execution of our new investment strategy including the addition of our newest affiliate Veritas Asset Management which closed last week. Notwithstanding increased volatility in global equity markets, especially in non U.S. markets, we generated $5 billion of net client cash flows during the quarter marking our 18th consecutive quarter of strong positive net flows with a cumulative total of approximately a $125 billion in net flows over this period. The ongoing success of our global distribution strategy reflects our ability to excellent long-term investment performance but also our strategic focus on global and emerging market equities and alternatives which collectively generated approximately 75% of our EBITDA across a broad range of industry leading products. Our boutique affiliates are recognized worldwide as leaders in their respective disciplines including global and emerging market equity managers Artemis, Genesis, Harding Loevner and Tweedy Browne and alternative managers such as AQR, BlueMountain, EIG and ValueAct with a broader way of liquid and illiquid strategies across the credit, controlled equity, energy, infrastructure and private equity areas. AMG is now one of the largest alternative managers in the world. Our success in generating consistent and substantial organic growth from net client cash flows reflects both the marketing efforts of our Affiliates as well as meaningful contributions from our global distribution platform during the quarter, including new or expanded funding in every coverage region worldwide. Looking ahead, we see strong ongoing demand around the world for our differentiated value added strategies as global institutional clients increasingly recognized the competitive advantage that boutiques have in generating outlook. With our Affiliates’ exceptional long-term investment track records across the wide range of return oriented products, we are well positioned to continue to benefit from high end demand trends such as, portfolio globalization and the increasing separation of alpha from beta portfolios. And overtime, we see similar trends unfolding among U.S retail clients and with our enhanced focus on our retail platform we are positioned to capture additional market share when these trend take hold. Turning to new investments, we continue to make progress to our partnering with additional outstanding Affiliates. Our diverse pipeline includes both traditional and alternative firms and includes an increasing proportion of non-U.S based firms. Last week, we are very pleased to welcome Veritas Asset Management to Affiliate group. Veritas is a leading global and Asian equity manager headquartered in London with $17 billion in assets and an excellent record of investment performance which further diversifies and enhances our exposure to some of the fastest growing product areas in the industry. The Veritas transaction is also great example of how we execute our new investment strategy. Through our consistent calling efforts over the past 20 years we have built proprietary relationships with hundreds of outstanding boutique firms worldwide, virtually all of which will inevitably need a succession planning solution. In the case of Veritas, our relationship began with a direct call to the firm’s single partner Charles Richardson. And then overtime we build a strong relationship with Charles and his partners. And when they decided to pursue a transaction to address there long-term succession planning objectives they approached AMG on an exclusive basis. Given our unparalleled competitive composition including our two decade track record of successful partnerships along with the relationships we built with leading firms over those 20 years were uniquely positioned to execute on our outstanding opportunity set, going forward. Finally, as you heard me say before through the successful execution of our strategy we’ve created a virtuous circle. The addition of new Affiliates increases the earnings growth of our business, while also enhancing our position in value added product areas and in reaching strategic dialogues with clients, making us an even more attractive partner to other perspective Affiliates. And most importantly, our reputation is a partner to our Affiliates along with their individual reputations as outstanding firms create a hole that is undeniably more than a sum of its part. We saw evidence of this effect, a few weeks ago at our Affiliates CEO forum, where we gathered the senior leaders of our 30 Affiliates to discuss market trends, distribution initiatives, strategic positioning and best practices for boutique firms across all aspects of business management. As more outstanding firms joined our Affiliate Group, our partners increasingly benefit from the network effect of this unique array of some of the world’s best boutique firms. We built our business from an idea into one of the largest global investment managers and our Affiliates are now friends as well as partners. Through their collective efforts and the power of their positive recommendations of AMG is a trusted partner we’re confident in our ability to continue to build shareholder value through both accretive investments in new Affiliates as well as ongoing outstanding organic growth. And now I’ll turn it to Nate to discuss our Affiliates results in greater detail.
Nate Dalton : Thanks Sean. Good morning, everyone. Our results in the third quarter demonstrated the strength and diversity of our business and the multiple ways AMG can drive significant growth. While our investor risk appetite permuted in several channels last quarter. We generated $5 billion in positive flows. As you know we have now have strong positive flows every quarter for the last four and half years. As Sean said, we continue to benefit from some favorable trends. Especially among sophisticated institutional clients, as they continue to separate their portfolios in the passive date exposures of one end and active out for the other and for the outer portions of their portfolios clients will like continue to be attractive boutiques. We also continue to benefit from our strategic focus on global and emerging market equities, and alternative products. These are the areas where we generated the bulk of our positive net flows over the last four and half years. Now, as risks appetites increased and as our Affiliates track records remains strong and we enhance our distribution resources we’ll be even better positioned to drive significant positive flows. Turning to investment performance by category and starting with global developed markets area, overall we had a good quarter with highlights including very strong performance from the global product Artemis and Harding Loevner as well as many of AQRs products in the category. In addition, Tweedy Browne’s flagship product performed exceptionally well relative to peers. Their global value fund was the top-performing fund in this Morningstar category for the quarter, and is in the top decile for the trailing 5, 10 and 15-year period. In the emerging markets category, we had mixed performance during the quarter however long-term performance among major products including those managed by AQR, Gensis and Harding Loevner remain very strong. In our U.S equity category, AQR and River Road service notable stand off during the quarter. While Yacktman unperformed in the third quarter this was not surprising giving a defensive positioning. Relatively, Yacktman had strong performance during the volatility earlier this month reminding me that serves the value of their conservative approach. Finally, turning to our alternatives product category, looking across our Affiliate Group, as Sean said, AMG is among the largest alternative managers in the world, with our Affiliates managing a very broad array of liquid and illiquid strategies including best-in-class credit, control equity, currency, energy, global macro, infrastructure, managed features and private equity product. As you think about that array of products it includes many that are absolute return oriented, but also a broad suite and have significant underlying data components. For the quarter, performance continued to be generally strong, although obviously the beta-sensitive products were impacted by the underlying declines in certain of the relevant markets. Now, turning to flows for the quarter. As I said, we are pleased have another strong quarter with 5 billion in positive net client cash flows, particularly given immediate risk appetite among investors and some channels. As we emphasize on every call, flows especially in the institutional and sub-advisory channels are inherently lumpy, but looking ahead overall flow momentum continues to be good. Turning to the channel review and starting with the institutional channel, we have very strong quarter with positive net flows for approximately $6 billion. These flows came primarily and alternative and global equity products. Notable contributions came from AQR, BlueMountain, First Quadrant and Pantheon. Similar to previous quarters, we had a number of great wins coming from leading institutional investors located around the world. In our high net worth channel, flows were roughly $500 million for the quarter with contributions coming primarily from, GW&K, Harding Loevner and SouthernSun, including through our U.S. retail distribution platform. Moving to our mutual fund channel, we have outflows about $1.6 billion, we had positive flow into many global and emerging market equities and alternative strategies, which came from a number of Affiliates including especially Artemis, Harding Loevner and Tweedy, Browne these were more than offset by outflows in our U.S. equity products. Obviously, this was against the backdrop of a difficult period pre-U.S. retail flows for return-oriented meters generally and especially in U.S. equities. Now, turning to our U.S. retail platform, AMG Funds. Even though the challenging the flow quarter for the reasons I mentioned, we continued to make good progress in positioning the business for the significant opportunities we see to build a reading, retail distribution business. As we’ve discussed on previous calls, this is impart because we believe that overtime clients and intermediaries must allocate through alternative products to meet their objectives. But also fundamentally, we think there is a unique opportunity to create the point of contact through which platforms and intermediaries and other channel partners can access the world's broadest array of return-oriented boutiques. There are really only a very few asset managers in the world than same type of performance oriented product that are Affiliates manage. We just recently finished building up the senior team at AMG Funds with the additional bill sent again from MFS’ Chief Marketing Officer. He started last month. And Jeff Ceruti and the rest of the senior team there are very optimistic about the opportunities and execute against their unique ability to help our Affiliates to have significant growth in U.S. retail channels. Finally, in terms of updating you on our global institutional distribution platform, we continue to help our Affiliates generate strong flows on diversified better products and across geographies. This past quarter, we saw a number of significant wins coming through our European and Middle Eastern platforms in particular. The other item I would highlight here is the progress we’re making into additional market segments and geographies such as Australia and the Middle East, where we have already made significant progress building relationships with the largest investors and their intermediaries. Looking ahead, as our Affiliate maintain their excellent long-term performance records and as we continue to see global demand for performance oriented products managed by some of the best investors in our respective disciplines, we are confident that we can continue to generate strong organic growth. And with that I’ll turn over to Jay.
Jay Horgen: Thank you, Nate. As Sean discussed, despite a volatile market environment, we are pleased with our third quarter results including another quarter of strong and organic cash flows. Given the strength and diversity of our Affiliates and substantial cash generated by the scale of our business, we continue to produce stable and growing earnings including in periods of uneven markets. As you saw on the release, we reported economic earnings per share of $2.76 for the third quarter, with net performance fees contributing $0.06. On a GAAP basis, we reported earnings per share of a $1.84 for the quarter. Now turning to more specific modeling items, for the third quarter our EBITDA increased 28% year-over-year to $218 million, reflecting the continued organic growth of our business and the strong execution of our new investment growth strategy. The ratio of our EBITDA to the end of period assets under management for the third quarter was 14.6 basis points or approximately 14.2 basis points for third quarter performance fees I mentioned earlier. In the fourth quarter, we expect this ratio to be approximately 17 basis points reflecting the higher performance fees that we typically expect in the fourth quarter. With regard to our taxes, our effective GAAP tax rates for the quarter was 36.7% and our cash tax rate was 25.3%, both of which were elevated relative to our July expectation as a result of the delay in a very tough closing. For modeling purposes, we expect our GAAP tax rate to be approximately 34% and our cash tax rate to be approximately 25%. Intangible related deferred taxes for the third quarter were $19.6 million and for modeling purposes we expect this number to be approximately $19 million for the fourth quarter. Our share of amortization for the quarter was $29.6 million, including $7.3 million of amortization from Affiliates accounted for under the equity method and we expect AMG’s amortization should remain approximately this level for the fourth quarter. Our interest expense for the third quarter was $21.7 million, including $2.8 million of pre-tax non-cash imputed interest expense. For the fourth quarter, we expect our total interest expense to be approximately $22.5 million including $2.8 million of pretax non-cash imputed interest expense. Turning to our balance sheet, through the continued growth and increasing scale of our business, we have simultaneously reduced our leverage while also executing on four new investments in 2014 including a closing of Veritas last week and the funding of approximately $50 million of share repurchases in the third quarter. With run rate EBITDA of more than $1 billion combined with another $1.25 billion of undrawn revolver, we continue to have substantial capacity and flexibility to execute on our significant opportunity set in new investments. And the increasing scale of our business will continue to create incremental opportunities for earnings growth. Now turning to guidance, we are updating and narrowing our 2014 guidance as we expect economic earnings per share to be in the range of $11 to $11.60 which reflects the impact of markets to date as well as our expectations for fourth quarter performance fees. For 2015, we expect our economic earnings per share to be in the range of $12.50 to $14. We also assume a weighted average share count of approximately 56.5 million for 2014 and approximately 57 million for 2015. As always, we assume our normal convention of actual market performance through yesterday for the current quarter and 2% quarterly market growth beginning in the first quarter of 2015. The lower ends of our guidance ranges include a modest contribution from performance fees in organic growth while the upper ends of these ranges assume a more robust contribution from performance fees and net client cash flows. As always, these assumptions do not include earnings from future new investments in our base on our current expectation of affiliate growth rates performance and the mix of affiliate contribution to our earnings. Of course, substantial changes in markets and the earnings contribution of our affiliates would impact these expectations. Now we’ll be happy to answer your questions.
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session (Operator Instructions). Our first question comes from the line of Michael Kim with Sandler O'Neill. Please proceed with your question.
Michael Kim - Sandler O'Neill: First, Sean, curious if you could maybe flesh out your comments a bit about the deal pipeline, just in light of the more recent step up in market volatility. I think in the past you've talked about outsized volatility either on the upside or the downside that tended to make getting deals done a bit more difficult. Just wondering, if you maybe seen some potential sellers or partners stepping away a bit more recently.
Sean Healey: Well, good question, and there is no doubt that extreme volatility, as you say, on either side, has a dampening effect on new investment activity. I think moderate levels of volatility actually can be helpful. They have a way of focusing the mind on what can be lost as well as what can be gained. And so who knows what’s going to happen on a near to medium term basis with equity markets. But if one assumes that we’re past the recent bit of volatility, I think at this point it actually will be helpful going forward. We have, as we’ve indicated, a very strong pipeline.
Michael Kim - Sandler O'Neill: Got it. In terms of the retail channel, I understand the reasons why Yacktman has underperformed and that's why this amount flows. But just focusing on the mutual fund channel, curious to get your thoughts on where you see opportunities to maybe offset those redemptions as you look across other funds or regions, particularly assuming retail risk appetites remain somewhat muted.
Sean Healey: So, before I go right into the questions obviously just maybe one that it is partly Yacktman as you indicated relative performance. But overall, our product mix in retail, really in U.S. retail, is more heavily U.S. equity centric, and so that’s really even more than just sort of Yacktman point that really is I think something to observe, right. So the more heavily U.S. centric product mix in U.S. retail I think is part of the channel and just the challenge crossing that channel. In terms of the opportunities to offset that, let me focus here on two things, right. So one is I think geography as you indicate and their non-U.S. retail has been and continues to be area of opportunity for us and that’s UK, European increasing and never building out in Australia. So I think the non-U.S. retail is definitely an opportunity for us. And then within U.S. retail, it’s the evolving product mix, right. And so it’s both working with the existing set of affiliates but also you heard us talk about this in the past as we bring additional affiliates online that’s also another very strong source of opportunity for us in the retail channel to work with those affiliates and bring retail products there.
Nate Dalton : The other thing I would add is that as you know our focus on retail has come mostly this year with the addition of a new senior team, the last of which Nate mentioned we just hired this month, building out infrastructure, building out importantly increased awareness and a brand, using the AMG brand for the first time. So of course to some extent it depends on broadening of our product set and inevitably to some extent on planned demand trends coming toward our return oriented product set, which we're convinced will happen. But even before then we feel very good about our prospects looking ahead.
Michael Kim - Sandler O'Neill: Got it. And then just one last one for Jay. In terms of the updated guidance range for this year, in particular, any sense of the underlying mix between the mark-to-market impacts versus maybe a bit more conservative outlook on performance fees as we stand here today.
Jay Horgen: Sure, Michael. Let me -- maybe I'll address that in all of guidance, so answer a bit more than you even asked, but it's the highest level -- we updated the 2014 and 2015 guidance. But we also narrowed the 2014 range, which is our normal practice, because we have visibility and more visibility on the fourth quarter performance fees. So we just take those into two pieces, on the market beta part, I'll just start by reminding everyone our convention, we last gave guidance on our second quarter call July, 29. At that time, we assumed 0% markets for the third quarter and 2% markets for the fourth quarter, in each quarter thereafter. And so since that call we've seen this pullback. Our blend was down or is down about 2.25% across all products through last Friday. So a little bit better than the third quarter AUM table shows 2.25%. Given that we're now in the fourth quarter, our convention is to assume no more beta for this year, so we removed the 2% assumption for the fourth quarter. And as a result, the realized performance through Friday is a 4.25% lower than our model, and so that explains most of the shift in 2014 and really all of the shift in '15. The 2014 range also is affected by the delay in Veritas, which moved from the third quarter to the fourth quarter, so that you're conservative that -- you didn't mention Veritas, I think there is a piece of it is just Veritas it does not have an impact on '15 it does have a small impact on '14. So just a recap, our '14 guidance reflects markets, the delay in Veritas and the partially impact of the deal that we did throughout the year while our '15 guidance reflects a full year impact of all four investments and mark-to-market and then our normal convention of 2% per quarter starting in the first quarter next year. So then the last bit to get to the second piece, with only two months left in the year, when we narrowed this range to reflect our current expectation of the fourth quarter performance fees. As you know we've already booked $0.22 through this year, we continue to see this year is a 5% to 10% of our total economic earnings year in performance fees. We only experienced performance fees when crystallized just to remind everyone, but given the pullback this year, we have narrowed the range and that does sort of an account for the rest of the range move.
Operator: Thank you. Our next question comes from the line of Dan Fannon with Jefferies. Please proceed with your question.
Dan Fannon - Jefferies: Just on flows, you highlighted the Middle East and Australia as regions of success. Wondering -- you saw some flows, you mentioned, in this quarter. It seems like the backlog is building in those regions. Can you talk about where you are in terms of the build out and generally how long it's taking you to ramp these regions? And then ultimately what other regions are you looking at to expand, to get a sense of the laddering effect that will take place as you have been building out these new regions for some time, and it seems like it's expected to continue.
Sean Healey : Got it, so, I'll try to sort of describe the structure here, because I think your question sort of tees up a bunch of the different ways we think about. You used the word laddering the way we think about the ladder the curves of these things build right. So, we have some regions Australia and Middle-East parts of Europe that we've been in now for a while have done a good job as I said building relationships with the largest pools of capital, with the biggest intermediaries in those geographies and so we're well into those curves in places like that. But you've to be careful not to generalize for the whole geography, so I would describe that at least two dimensions right, so geography and then channel within the geography. So at the sort of high end institutional channel, the high end biggest intermediaries consultants especially in these geographies I think we've in some geographies been for a while, I think we've now built businesses that are sort of past that beginning stage, so we've built a good brand and reputation, we've made some significant sales working with our affiliates and we're well into thinking about how to bring additional affiliates -- a multiple affiliates into those relationships and building diverse mature relationships. At the same time in those geographies we're also adding additional resources to move into other channels. There, we did highlight Australia and the Middle East as examples where we’ve added additional resources to move into sub-advisory and sort of moving to the smaller ends of the geography and we’ve also been building packages so I also talked about the build of Australian trusts for example. So there is certain in market like that we’ve been done very good job penetrating some channels and we’ve building out in diverse finding too other. In their other areas Asia’s example where we’ve made a very good progress we’ve won some very significant mandate from many of the largest institutions of regions but there is still a lot more we can do at the large and building out. So I think there are regions like that okay so that’s another category. And then the third one I would mentioned is talk about places like Europe where, we talk about it as a one region but it’s obviously very, very diverse. And so there are places where we’ve been working with our Affiliates for quite some time but there are also places where over the last year, year and half you’ve heard us adds specific country resources and so we’ve talked about our German hire, Swiss higher and those folks are making really good progress now and are just starting to really come on line and build, beginning are significant wins but there pipelines are really growing so that is a part of this ramp that you described right. And then final thing I’ll say is obviously as you indicate there are plenty of still what, advertisement call white spaces and places where we still could add additional resources places where we’re really not doing dedicated coverage day and we’re continue to work on those. And so you’ll have a number of ladders or curves that are moving along nicely have a lot of ladders occurs that are just starting to grow and some of are really still have lots of untapped opportunities.
Nate Dalton : The only thing I would Dan you’re aware of this but I think when we talk about market position generally or do you think about what other public asset managers talk about in terms of market position if generally more they’re positioned in more mature markets whereas more of a market share gain then a underlying market growth and the first in Australia and Middle East and markets like Korea where we not as developed although they have strong and growing position and some of the important client relationships those markets have tremendous underlying growth momentum and so you’re getting the benefit, we’re getting the benefit of not just our strong position sort of those relationship maturing but as the underlying growth continues in those markets, we can get if you will an acceleration of that contribution to our overall flows.
Dan Fannon - Jefferies: Great that’s helpful and then Jay I believe you mentioned 50 million in share repurchases in the quarter. Can you talk about I guess first with the level was where your buyers your stock and then kind a how you are thinking about that in the context of 2015 and just as opportunistic or we at the point where we are generating of cash flow where we could see a little bit more of a consistent buyback coming into the numbers.
Jay Horgen: Yes so just on the sort of the top level we have noted several times as to size and scale and the growth of our business as well as just a restructuring of our balance sheet to maintain flexibility it gives us the opportunity, to not only execute on our new investment activity which has been significant year-to-date and that is our priority but it also gives us the opportunity to buy back stock. I think the way they characterize this quarter approximately $50 million it was simply to maintain our share account, it roughly the same level and so there was described the completely as opportunistic but it was opportunistic to keep our share count at 566, 567. But when you look forward I think that’s the more interesting comment because we have $1 billion on run rate EBITA and $1.25 billion under on our revolver of course we will continue to focus on new investment. But depending on the timing of those new investments or the size of those near term transactions the scale of our business allows us to comfortably buyback some shares and in periods of lesser activity and so we will continue to monitor that.
Jay Horgen : Yes I would say buybacks will become an increasingly important thing in our earnings contribution, just inevitably doesn’t say anything about the scale and attractiveness of the new investment opportunities that which is, you’ve heard me say Dan really better than it’s ever been but really the increased contribution from share repurchase that I see perceptively over the coming years is just reflects the very strong growth in our business, the substantial scale and cash generation of a business that’s making over $1 billion a year in EBITA.
Operator:  Thank you. Our next question comes from the line of Bill Katz with Citigroup. Please proceed with your question.
Bill Katz - Citigroup:  Just coming back to maybe an opportunity to build out the U.S retail business and maybe you offset some of the weakness that you are seeing at Yacktman. How quickly do you think you can bring on you mentioned the Southeast and Sun was little bit on the high network side. How quickly can you bring that in Veritas into the retail channel we might set to see some step up of flow?
Sean Healey : Yes so again I’d remind, I think it is not just a Yacktman story, I do think it is this in the U.S. equity story more broadly that I mentioned, and then on the other side I think the bringing new product to there is a combination of a few things, right. So, one is product that already exists in the appropriate form, these called mutual funds existing in appropriate form where the track record is good and it's coming up on a long enough duration that is the kind of thing that couldn’t really be sold. So, that’s one part, so those are products where we’re already working with the firm, we’ve already got the package filled, the distribution team is already familiar with it, it's already probably on some thought comes already and maybe beginning to the broad and to modern portfolio. So, I think there is a category of those even before you get to either new product from existing Affiliates or new products from new Affiliate. But you’re right there is a very big opportunity in those large category, so it's new products from existing Affiliates and whether and we’ve talked about this before, but working with our existing Affiliates to our alternative managers especially and helping to bring those products to their in the retail channels in the U.S. and outside the U.S., so that’s a very large opportunity for us. And then the last one is the one that you mentioned, which is if you go through the Affiliates that we’ve had for most recent Affiliates SouthernSun and River Road, we are working with both of them already in retail channels and bringing them into additional retail channels. And then for both EIG and Veritas, we’re having -- conversations are underway and those are involved both building the product as well as working with an distribution U.S. retail. But the conversations go underway with both of those go already and again there are kinds of firms that have the capability that is in high demand. And so this should be a very some medium-term opportunity this sounds like that.
Bill Katz - Citigroup:  Second question I have is just conceptual nature, our given the strong free cash flow and so the optionality to deals and/or buyback, should we be watching that if they stepped up repurchase that, that might single that you don’t have transactions coming. Or, can you do both simultaneously just make [indiscernible]?
Sean Healey :  Well, I think you’ll see in period for example of extreme volatility more repurchase, just because there will be inevitably some dampening of activity. But in general I guess, I would say you will, if you saw a lot of repurchases, significant amount of repurchase activity that would say something about the immediate near-term pipeline, yes, I think if you saw us building cash in a period where you otherwise would have expected us to be doing significant repurchase activity or reinvestment of the cash, it would probably be a signal that there is substantial medium-term new investment opportunities that we, that we’re sort of preparing for. But I think on a -- that’s sort of hard to read and we’ll give as a clear guidance as we can and I think what we expect going forward again absent market volatility is an ongoing level, elevated level of new investment activity where there are more opportunities than ever where our market position is stronger than ever and simultaneously although I think the repurchase activity will probably be at a lower level in the early years ongoing repurchase and reinvestment, repurchase of our stock and reinvestment of the cash. So, we are quite confident in our new investment opportunity set and also quite willing committed to reinvest the cash the business generates where we don’t have mediate opportunities.
Bill Katz - Citigroup :  Just one last one, thanks for taking all the questions, you mentioned in your prepared remarks showing that 75% your business is coming from global equity emerging markets alternatives; you have done a nice job there. As a step back and think about some of the structural demands, shifts that are going on, as well as some of the turbulence that comes the other way, does that change your view at all about adding on fixed income managers looking out of next few years?
Sean Healey : 
Operator: Thank you. Our next question comes from the line of Chris Shutler with William Blair. Please proceed with your question.
Chris Shutler - William Blair & Company: Good morning. Sean, stepping back for a second, if you look out over the next let’s say five years. Based on the discussions that you’re having with perspective affiliates today, how would you expect the mix of EBITDA to change kind of by asset class or geography over a long period of time?
Sean Healey: I don’t expect that the product categories i. e. the contribution from alternatives and global and emerging market equities at 75%. I don’t expect that to change dramatically I think there will be increasing depths in diversity in let’s say the alternative products that with more and more strategies that we have significant breadth of strategies and exposures and the alternatives there but lots of areas where we don’t have any exposure, and the same in a different way in the active equity product area. So I think we like the rough level of product exposure, I think, in any given period through the fortuity of new investment opportunities. We may get a little more in alternative or a little more in global and emerging market equity. But I don’t see a dramatic change in the composition of our products in terms of contribution to earnings. I do see an increasing globalization in our product set, in our client base, in our affiliate geography, meaning more and more non-U.S. affiliates. And I think that represents a different kind of diversity and opportunity for growth. And we’re seeing more and more outstanding perspective affiliates in non-U.S. markets and I think that will continue so that theme of diversity and non-U.S. clients we’re already with roughly half of our clients from outside the U.S. where we already have a strong position I think that will continue.
Chris Shutler - William Blair & Company: That’s very helpful, and then just a couple of questions on U.S. retail. So first, could you update us on at least roughly how many sales flush we have in that channel today versus maybe a year ago? And secondly, to what extent do you think some of these new retail products are going to need to build the track record so a three years sort of track record? Or is it possible given the record of some of these firms and just the client demand that you could see flows quite a bit sooner? Thanks?
Nate Dalton: Yes, okay. So I think the overall level of sort of headcount on the sales force right now has been pretty stable. But I think as we look ahead I do think there’ve been it’s been more sort of reshaping of that way, the mix, internal and external and also by channel within the channels they cover. So, thinking about the wires in the RAs and how they adjust that mix. But I think the overall headcount has been pretty stable. On the second part of the question, I think probably the way to describe it would be to think about it by product category, right. So in product categories that are mature I think it’s much more, it’s going to be in and we’re experiencing it is more important that we have the track records and that’s because easy to people slot you into a competitive universe and for that they will want or they do want a track record of the certain duration and asset levels of certain size. You’re absolutely right, there are places where we believe that because it’s either a relatively new product area or because the offering is so different and compelling and the institutional track record is so strong and I do think those are slightly different. But the institutional track record is so compelling so strong that we have the opportunity to work with folks to get the products into especially in the model portfolio kinds of places where people are looking for additional diversifying return streams and we can bring them to them. This is much more like an institutional sale. And we are absolutely experiencing that and we’re experiencing that across channel. So within the wires but even in the DC channel which is the place that hasn’t been historically area of particular strength for us we’re having some very good conversations to bring especially sort of new diversifying return streams to people.
Operator: Thank you. Our next question comes from the line of Brian Bedell with Deutsche Bank. Please proceed with your question.
Brian Bedell - Deutsche Bank: Nate maybe on the U.S. distribution side, Nate if you want to maybe talk a little bit about -- a little bit more in depth on the U.S. retail distribution in terms of where you've seen the outflows, you mentioned a little bit on the sales force side, wirehouse, the RA segment. The defined contribution investment, where have you seen the outflows coming more recently and then what have you missed within that U.S. mix, would you missed optimistic about turning around over the next few quarters?
Nate Dalton: Got it, so, first, I think if I were going to call out a trend to focus on, it is that product trend which is the U.S. equity area within U.S. retail distribution. If you don't look at channels within that, our experience has been more wires and IRAs, but I want to caveat but that's our experience, that's also I think as much a function of those happen to be places where we have had -- where we have the most assets right. So making much more of an AMG specific comment there than something that has broadened our capability, so for us it has been both from a broker-dealer side and in the RAs and those again in large parts those were the places where our assets are. In terms of the thing that I think changed the flow pattern for us in U.S. equity, I think it's going to be probably a couple of things right, so first, performances going to be of course a part of that right. So relative performance no question that will absolutely be a part of it. The other thing I'd remind people and this is a Yacktman specific question -- comment or that would apply in few other places is, we do have products like Yacktman which have been outflows, so while part of the outflows are certainly performance part of the outflows are certainly product category has been out of favor in a difficult place, part of there is also the products are soft closed and so the gross sales number it just can't be there. The reason those products are closed just to remind everybody is not because of capacity, the reason those products are closed is, they have high cash levels although they have been declining, but they have high cash level given the opportunities that they see to put assets to work and so the soft closed products those projects will reopen and so the things so I think it's a combination of things, it's certainly performance I think it will product like there is and there are others like there is reopening to opportunities when they see only few of the opportunities I think those are the things. And then I'll say one last thing which is and we mentioned it before is additional U.S. equity products coming online and we mentioned SouthernSun earlier, River Road as well earlier and so it's from existing affiliate but also a new affiliate with very attractive U.S. equity products come online.
Sean Healey : I think it's worth stepping back also, because we've had a couple of questions focusing on a relatively small part of our business and where there's apparent visibility on a part of the products that meaning a lot of our U.S. retail is less visible and harder to gauge trends, but the important point is really the to underscore the degree to which we're primarily a global institutional asset management company. This quarter we haven't talked about it, but this quarter our active equity and alternative flows were so part is I can tell with maybe one or two exceptions far ahead of the industry average -- far ahead of any of our or virtually any of our public company competitors. And I think on a gross inflow basis Nate this was this was one of our stronger quarters and in several years. Even in the midst of the period of market volatility. So the point to emphasize that I'm trying to emphasize here is that, while a piece of our business where we see substantial forward opportunity in the coming years is worth understanding the biggest part of the business which obviously has more than offset any outflows that we might have in U.S. retail products is the global institutional opportunity whereas you've heard I say we think we have a very strong position doing much better than the industry and where we see ongoing strong opportunities for growth.
Brian Bedell - Deutsche Bank: Yes and that actually could leave one of my question Sean I was going to say the -- you seem to be doing very well in active versus passive trend as you have led in terms of more allocation to the boutique where that trend is hurting other managers, so you can answer two questions within one. And maybe just switching over to Jay on the guidance the bottom and the top of the range for 2015 is I've seen the 5% performance fees and 10% contribution performance fees, Jay can you talk about the performance you have implied in October for the firm and then the range for 2015 in terms of your net flow assumptions on the high end and low end?
Jay Horgen: So, I think the Brian, the comment to both as we don't go to that level of details, it is assumed in our guidance range, it's the purpose of giving guidance. I made this comment earlier but I will talk about performance fees first here and then we can talk about flows of that, with respect to performance fees, we have seen historically that our range has been about 5% to 10% and that we feel comfortable with that range because of the diversity of the performance fees in terms of both strategies that underlay that performance fees and obviously there is a lots of different strategy and lots of different products more than half of our Affiliates have performance fee opportunity. As well as the underlying contracts because they all have different ways to express those performance fees some of them are absolute returns, some of them are relative return et cetera. So we are in a unique position given AMG’s Affiliate model and the ability and to have the diversity that we do across all this difference performance fees streams that when you stress test that or look at in different ways you can see how the 5% to 10% is a pretty estimate. Now one of the interesting things of our performance fees is they can never go below zero and so in good years like last year you can go well above 10%. And what we’re doing in this October November I guess call is really give you a sense for where we are today because ultimately we only express performance fees when crystallize and we seeing 10 months of performance. It doesn’t mean that we can plan that exactly because we still have two more months to go but we do have sense for volatility around where we see group and not realize is not a number we report but we get a sense for that, so that’s really that was informs our decision to narrow the range the way we did. As it relates to flows on a 2015 basis and really close generally, we obviously reflect on our historical performance but we wanted to be conservative I think Michael came earlier and asked the level of conservativeness I think we do have a an ounce of conservatism across all these different assumptions and there you assume you’ll being relatively conservative and how we think about flows but we don’t give a flow estimate.
Operator: Thank you. Our next question comes from the line of Robert Lee with KBW. Please proceed with your question.
Robert Lee - KBW : Most of my questions have been asked but one I did have was I guess capital management related and specifically talked a little about seed capital is a sense meaning past you guys really haven’t had to put up too much in terms of seed or commitment or I guess most of the Affiliates have funded that on their own but as you look to expand into retail or sometime seed capital and new products financing have gone up over the years and as I mean could you just talk about how that’s evolving do you see that could be an incremental use of capital of compare to the past coming years just as you deepen week health penetration roll out new alternative strategy across different Affiliates just your any thoughts there.
Sean Healey : Nate, why don’t you talk in about product development broadly and then we can.
Nate Dalton : Sure for us seed capitals and the way we think about it integral part of the way we work with Affiliates and product developed and as you observed I think the work we do at Affiliates and product development that’s increasing over this years and so that coming from a places which is working we have a feedback to look now but we didn’t have several years ago which is the feedback from all of these distribution professional is working closely with these large pools of capital. We are able to bring all that information back into our dialogue Affiliates are beginning to work within that all the way as early as that level which is for a conception but we’re working with our Affiliates where we see demand where they see demand where obviously they think they’ll be excellent and then working with them in patching as part of that conversation is of course other things we can do to help them if the product needs a level of capital either doing it as AMG or doing it in partnership with helping them get those first seat investors from among the institutional relationships that we’ve build round the world and so we’ve been doing more and more of that as another part of our work Affiliates and product development that does include more work with them in seed capital.
Sean Healey :
Operator:  Thank you. Our next question comes from the line Greggory Warren with Morningstar. Please proceed with your question.
Greggory Warren - Morningstar : Yeah, good morning guys. Just real quick, I don’t think you mentioned directly, but I sort of did the math on the Veritas field, it looks like when you brought in it had about 17.5 billion and the assets at the end of September, I just want to clarify on that and also just sort of your feel on how flows are looking for that particular business and more exposed sort of the Asia Pacific region?
Jay Horgen :  Yes, so, you’re right pro forma it was 16, 17 and I think I have on table shows just around 599.5, so that is the math and you’re correct about that, I don’t know maybe want to comment. I would say that at the Asia products were relatively small, it's more global equities exposure but they are meaningful as products. The firm is actually having very good year in terms of organic growth, I mean there like other fully is focused on measured growth and building and enduring franchise, but now we feel very good about near and long-term prospect for organic.
Greggory Warren - Morningstar :  Okay, good. And then I am not sure if anybody asked this or not, didn’t speak out, but on the institutional flows, could you point to it was stronger than what I was expecting for Q3, really sort of point out certain field where the products that we’re working where we actually picked up things and whether I expect continue?
Sean Healey : So, I think, so the post this past quarter if I were going to characterize anything, I’d say stronger alternative. So more in alternative institutional flows. We have a very strong pipeline. It is lumpy. But, we look ahead. The pipeline is very strong and remains, we’ve been saying that remains in global equity, alternatives and including the app would be area. This past quarter very strong alternative. That’s how I categorize based on alternative institutional flow.
Operator:  Thank you. At this time we come to the conclusion of our question-and-answer session. I would like to turn the floor back to Mr. Healey for his final remarks.
Sean Healey :  Thank you again for joining us this morning. As you’ve heard, we are pleased with our results for the quarter and we remain confident I believe to generate meaningful earnings growth through both organic growth and even with some new Affiliates going forward. We look forward to speaking with you in January. Thanks.
Operator:  Thank you. This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.